Operator: Good day, everyone, and welcome to Charles River Associates Third Quarter Fiscal 2017 Conference Call. Today's call is being recorded. Today's release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh; and Chief Financial Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Kristine. I would like to remind everyone that the statements made during this conference call, including guidance on future non-GAAP revenue and non-GAAP adjusted EBITDA margin for fiscal 2017, estimate of our fiscal 2017 full year non-GAAP effective tax rate or any other statements concerning the future business, operating results and financial condition of CRA, including those using the terms, forward-looking, expect, believe, anticipate, look to, target, seek, projected, continues, estimate, should or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain, and actual performance and results may differ materially from those expressed or implied in these statements due to many important factors. Additional information regarding these factors is included in today's release and in CRA's periodic reports with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures on this call, including adjusted EBITDA and certain measures presented on a constant-currency basis. Everyone is encouraged to refer to today's release or the Investor Relations section of our website noted above for the reconciliation of these non-GAAP measures to their GAAP equivalents, including descriptions of the calculations of adjusted EBITDA and the measures presented on a constant-currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad, and good morning, everyone. CRA continued to drive broad-based profitable growth, increasing revenue by 11.8% to $91.3 million, and delivering non-GAAP adjusted EBITDA margin of 16.3%. During the third quarter, we welcomed roughly 80 new colleagues, while achieving company-wide utilization of 74%. Our strong performance was driven by double-digit revenue growth in our Energy, Life Sciences and Marakon practices, with solid results from our Antitrust & Competition Economics, Intellectual property and Financial Economics practices. We also enjoyed double-digit revenue growth year-over-year in our North American and European operations. Overall, our expansion was balanced across organic and inorganic growth. Within management consulting, our Energy practice was led by project growth in both litigation and strategy opportunities. The practice continued to expand our client base in the U.S. and Europe, showing strong growth across strategy, utility resource planning and transaction support. In the third quarter, CRA was engaged by an electric lighting company to develop a corporate strategy, helping the company transition to a new technology environment. CRA was also engaged by a utility company to evaluate wind alternatives to coal and to support regulatory testimony in 4 states. In addition, CRA supported numerous private equity and other commercial clients during the quarter with company, portfolio and asset level transactions. In our Life Sciences practice, during the third quarter, we continued to find ways to combine the capabilities from both our legacy practice and our new colleagues from C1 Consulting. For example, CRA was engaged to help a leading global pharmaceutical company in crafting its prepositioning strategy for an innovative therapy in development for a neurodegenerative disorder. We integrated best-in-class market research methodologies developed by our C1 colleagues, with deep expertise in public policy and market access from our legacy Life Sciences team. Separately, consultants from both the U.S. and Europe used market research and advanced analytic techniques to understand how metastatic breast cancer will evolve and the role for a new targeted therapy. Marakon's third quarter growth continued to build on its strong performance in 2017 with strong contributions from both Europe and North America. Marakon has been successful in sustaining relationships with many top clients who view CRA consultants as strategic partners in driving enterprise value. This quarter, Marakon is helping a key division within a large multinational bank to find a go-forward governance and management model that will meet both internal objectives and regulatory requirements. Also in the banking sector, Marakon is collaborating with our Antitrust & Competition Economics practice in support of an ongoing litigation. Turning to our guidance. As a result of our strong performance during the first half of fiscal 2017, in our second quarter earnings announcement, we increased our non-GAAP revenue guidance and reaffirmed our guidance of non-GAAP adjusted EBITDA margin. CRA continued to deliver strong financial results in the third quarter of fiscal 2017. As a result, on a constant-currency basis relative to fiscal 2016, we expect to be in the upper half of our fiscal 2017 non-GAAP revenue guidance range of $360 million to $370 million, and reaffirm our guidance for non-GAAP adjusted EBITDA margin in the range of 15.8% to 16.6%. To summarize, year-to-date non-GAAP revenue on a constant-currency basis is $276.7 million, including a $3.7 million adjustment for currency headwinds. Similarly, year-to-date non-GAAP adjusted EBITDA margin is $44.9 million, including a $0.8 million adjustment for currency headwinds or 16.2% of non-GAAP revenue on a constant-currency basis. And now, I'll turn the call over to Chad for a few additional remarks. Chad?
Chad Holmes: Thanks, Paul. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website. Before we get to your questions, let me provide comments on a few additional metrics related to our third quarter 2017 performance. In terms of headcount, we ended the third quarter with 639 consulting staff, which consisted of 128 officers, 354 other senior staff and 157 junior staff. This is a net increase of 98 consultants or approximately 18% growth from the 541 total consulting headcount we reported at the end of the third quarter of fiscal 2016. Non-GAAP selling, general and administrative expenses as a percent of non-GAAP revenue, excluding the 2.5% attributable to commissions to nonemployee experts, was 20.2% for the third quarter of fiscal 2017 compared with 17.9% a year ago. SG&A as a percentage of revenue was negatively impacted by the timing of certain legal expenses and increased software development costs associated with our auctions and competitive bidding practice, which are expense items that we believe to be short term in nature. Turning to the balance sheet. DSO at the end of the third quarter was 114 days compared with 108 days at the end of the third quarter of fiscal '16. DSO in the third quarter consisted of 73 days of billed and 41 days of unbilled compared with 67 days of billed and 41 days of unbilled in the third quarter of fiscal 2016. We believe that there are -- has been no deterioration in the collectibility of our AR. Our target DSO level is 100 days or less and we seek to return to this level in the quarters ahead. The effective tax rate for the third quarter on a non-GAAP basis was 42.3% compared with 37.0% on a non-GAAP basis for the third quarter of 2016. The drivers of the higher effective tax rate related primarily to jurisdictional mix of earnings, executive compensation expenses and true-ups to prior estimates. When taking into account the projected tax impacts of the accounting guidance adopted earlier this year for stock-based compensation, we estimate that our full-year effective non-GAAP tax rate will be in the mid-30 percents. The material factors affecting this estimate include our stock price during the quarter and the jurisdictional mix of our earnings. We concluded the third quarter of fiscal 2017 with $20.9 million in cash and cash equivalents. We remain committed to maximizing long-term value per share by reinvesting in our business and returning capital through both share repurchases and quarterly dividends. During the quarter, we repurchased approximately 166,000 shares of our common stock for $6.1 million under our existing stock repurchase program. At the end of Q3, we had approximately $9.5 million available under the share repurchase program. In the third quarter, we also paid a quarterly cash dividend of $0.14 per common share, which totaled $1.2 million in aggregate for the quarter. As we mark the anniversary of CRA's first quarterly cash dividend payment, we are pleased to announce earlier today that our Board of Directors declared a 21% increase in the quarterly cash dividend from $0.14 to $0.17 per common share, payable on December 15, 2017, to shareholders of record as of November 28, 2017. Finally, this morning, we also announced the extension of our revolving credit facility for another 5 years. Citizens Bank, Bank of America and Santander Bank remain CRA's banking partners in this $125 million facility. Since the inception of the facility in 2013, this bank group has supported CRA's mission to be the firm of choice for its clients' most important litigation, regulatory and strategic challenges. That concludes my prepared remarks. Kristine, we would now like to open up the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of the Tim McHugh with William Blair.
Trevor Romeo: This is actually Trevor Romeo in for Tim today. I do have a couple for you. First of all, for the last couple of quarters, you guys have talked about sort of the strong performance being broad-based, which is obviously a good thing. I was just curious if there are any particular areas that are kind of -- you're seeing challenges or maybe just lagging the corporate average?
Paul Maleh: I mean, it seems like every quarter I'm highlighting another set of practices here who are exhibiting strong year-over-year growth. You know I'm proud of a lot of our practices, particularly our Antitrust, Competition Economics practice, which is having a really good year, given that M&A activity so far in 2017 has been relatively disappointing. But they're finding ways to get a large share of the matters that are going through and also increasing their presence in antitrust litigations. So we're seeing ebbs and flows across the practices, but none that I would highlight as being an area that I am concerned in the medium or long term.
Trevor Romeo: Okay. That is good to hear. And then, I guess, another one. Based on some of the labor statistics out there, labor market seems to be getting somewhat tight, especially if you look within the services realm. Are you guys finding enough qualified consultants out there to support growth? And do you see wage inflation picking up at all at this point?
Paul Maleh: Sure. I'll address the first question with respect to the labor markets. I guess, labor markets for us have always been tight when you try to hire the best and brightest. It is always a very small pool from which you're selecting. We are happy that we found success, both on the secondary market for labor, those that are at -- already at other consulting or industry firms. And also, thus far, in the -- early in the year on on-campus recruiting, we're pretty pleased with the yields we've been having so far. So we always work hard, but we have not seen a tightening of that funnel to date. With respect to labor expenses, that too, I haven't noticed any creep on those expenses to date.
Trevor Romeo: Okay, great. Maybe just one quick housekeeping. Maybe I missed it in the press release, but what were the reimbursable expenses in the quarter?
Chad Holmes: Just a second here. Reimbursables for the quarter were 10.6% of revenue.
Operator: [Operator Instructions]. We have reached the end of the question-and-answer session. I will now turn the conference over to Mr. Maleh for closing remarks.
Paul Maleh: I'll always take no questions as a sign that our message has been pleasantly accepted. So again, thanks to everyone for joining us today. We appreciate your time and interest in CRA. We'll be meeting with investors in the coming weeks and months, and we look forward to updating you on our progress on the fourth quarter call next year. That concludes today's call. Thank you, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.